Operator: Good morning and welcome to the Interpublic Group Fourth Quarter and Full Year 2020 Conference Call.  This conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to introduce Mr. Jerry Leshne, Senior Vice President of Investor Relations. Sir, you may begin.
Jerry Leshne: Good morning. Thank you for being with us. This morning, we are joined by Philippe Krakowsky, our CEO and by Ellen Johnson, our Chief Financial Officer. As usual, we have posted our earnings release and our slide presentation on our website interpublic.com. We will begin our call with prepared remarks to be followed by Q&A and plan to conclude before market open at 9:30 Eastern.
Philippe Krakowsky: Thank you, Jerry and thank you all for joining us this morning. I will begin with a high level view of our performance in the quarter and for the full year. Ellen will then provide additional details. I will conclude with some updates on our agencies to be followed by our usual Q&A. First and foremost, I hope that you and your families continue to remain safe and healthy during the pandemic. As we all know, across much of the globe, the virus is still very much a presence in our daily lives. As such, our first priority continues to be to mitigate the impact of the health crisis on our colleagues and our clients as well as in our business. It’s important to acknowledge the fact that over the past year, across IPG, our people have been subject to a range of extraordinary challenges. Their achievements have been remarkable and I want to very clearly express our admiration for their resilience and our appreciation for their ongoing commitment and effort. Moving now to our results, we are pleased to report a solid fourth quarter under conditions that continue to be challenging and full year performance that once again should place us at the top of our sector. In the fourth quarter, our organic growth change of net revenue was negative 5.4%. You will recall that our Q4 2019 result was organic growth of 2.9%, which included significant headwinds from certain client losses. So, for context, it’s worth noting that our continuing book of business from last year’s fourth quarter, which we were essentially lapping in Q4 2020, was a 5.6% growth number. In the U.S., the organic decrease in the quarter was 1.8% against a similarly challenging underlying U.S. comp of 6.4% growth in Q4 ‘19. In international markets, our organic decrease for fourth quarter 2020 was 10.5%. For the full year, our organic net revenue decrease was 4.8%. As you would expect, those results continue to reflect the effect of the pandemic, which has had widely varying impacts on our businesses and clients. Our event companies, in particular, which are typically strong in the fourth quarter, continue to bear the brunt of the health situation given that restrictions on public gatherings remained in place in most markets around the world. Conversely, during the quarter, we continued to build positive momentum in disciplines such as media planning and investment. Additionally, client sectors such as healthcare and retail, which have been our growth leaders for the duration of the health crisis, continued to perform strongly in the fourth quarter.
Ellen Johnson: Thank you. I want to reiterate Philippe’s comments and hoping that everyone is safe and healthy. As a reminder, my remarks will track to the presentation slides that accompany our website. Beginning on Slide 2 of the presentation, our organic net revenue change was negative 5.4% in the quarter. In the U.S., our organic decrease improved sequentially and was only 1.8%, while in our international markets that decrease was 10.5%. The U.S. outperformed international due to a mix of client sectors and the offerings in the U.S. that were less impacted by the current macroeconomic environment and with the effects of the pandemic and lockdowns in the UK, Europe and in some parts of Asia-Pacific, which weighed on revenue. Fourth quarter adjusted EBITDA margin was 21.8% before restructuring charges compared to 21.1% a year ago. Our EBITDA was $244.9 million and was $498.8 million before the restructuring charge compared with $512.7 million a year ago. For the quarter diluted earnings per share was $0.28 as reported, while our adjusted diluted earnings per share is $0.86. The adjustments exclude the after-tax impact of the amortization of acquired intangibles, the charge for restructuring and non-operating losses on the sales of certain small non-strategic businesses. Our cash flow from operations was strong for the year at $1.8 billion and our liquidity continues to be solid at $4.5 billion of cash and committed credit facilities at quarter end. Our restructuring program resulted in charges of $413.8 million during the year, which we expect will result in annualized permanent expense savings of approximately $160 million. We have concluded our actions under the program. This morning, as Philippe noted, our Board approved a 6% increase to our quarterly dividend to $0.27 per share. Turning to Slide 3, you will see our P&L for the quarter. I will cover revenue and operating expenses in detail in the slides that follow. Turning to Q4 revenue on Slide 4, our net revenue in the quarter was $2.28 billion. Compared to Q4 2019, the impact of the change in exchange rates was positive 10 basis points. Net divestitures were negative 80 basis points, which is the impact of the disposition of certain small non-strategic businesses over the past 12 months. Our reviews are ongoing and we expect to continue to have additional small dispositions as we move forward. Our organic net revenue change was a decrease of 5.4%. As you can see on the right hand side of the slide, that brings our organic change for the full year to negative 4.8%. At the bottom of this slide, we break out our segments. The organic change in our EM segment was a decrease of 3.8%. As a reminder, EM includes our global and domestic creatively-led integrated agencies, our media, data and technology offerings, and our digital specialists. IPG DXTRA, the re-branded CMG, is our global group of highly collaborative marketing service specialists. The organic change in the quarter was negative 15.1%, which reflects the disproportionate weight of live events and sports marketing within the segment, which has been most significantly impacted by the pandemic.
Philippe Krakowsky: Thanks, Ellen. As you know, our hallmark of our long-term strategy has been to invest behind our people and our agency brands and to embed digital across the portfolio so as to create a level of expertise that allows for greater collaboration when we activate integrated teams to address client opportunities. During the quarter and for the year, we continue to see evidence of the vibrancy of our brands and the evolution of our talent strategy. Highlights at our creative integrated networks were led by FCB, which was named Global Agency of the Year by Adweek in recognition of the agency’s bold creative work and highly collaborative model as well as its embedded data and CRM capabilities. The health operations at FCB continued to be the key driver of growth for the network and we saw both FCB Health New York and FCB Cure named 2020 Best Places to Work by healthcare industry publication, MM&M. MullenLowe Group closed the year with a number of new business wins, notably at Mediahub with the addition of the NBA account after a very competitive pitch. The group was also named Network of the Year at the UK’s IPA Effectiveness Awards. And MullenLowe Group UK was recognized by Campaign in its 2020 agency new business rankings as the market’s top performer with net new billings that were 2.5x those of its nearest competitors. At McCann Worldgroup, we implemented a succession plan that sees a long-term executive with broad experience across the company step into the CEO role and the elevation of key team members into leadership roles in executive management as well as senior strategy and client leadership roles. At MRM, the agency’s CEO added the title of Global Chairwoman and she brought in a highly regarded Global Chief Creative Officer to the agency. At Mediabrands, we saw the launch of the Mediabrands content studio, which pulls together creative capabilities from agencies in 12 key markets, ranging from long-form documentaries and branded content at UM and Initiative, the dynamic digital content from Reprise. This offering meets the increasing need we are seeing in the market for custom multiform content that’s strategically integrated with media and brand purpose. In January, Initiative continued the new business streak that has seen it named as RECMA’s fastest growing media agency, with a notable addition of T-Mobile. Our view is that culture drives commercial success. So, it’s also worth noting that the agency was named a Best Place to Work by AdAge. In LatAm, Initiative took home Agency Network of the Year honors in that region’s festival of media awards competition. And at UM, it was recently announced that the agency had won a major automakers and European media planning and buying duties after a highly competitive review. At Acxiom, as I indicated earlier, the company’s tools, expertise and data assets continue to play a role in an increasingly wide range of our offerings. Acxiom provides the foundational data layer for our holding company. And along with Kinesso, which is the technology applications layer, these are becoming core to our open architecture model with existing clients as well as in much of our new business activity. RGA added a number of new business wins in Q4, including Uber and Beam Suntory. At CES, in partnership with IPG, the agency hosted a virtual leadership innovation lounge, featuring top women leaders from clients like Ally Bank, Mitu and Reddit. At Huge, the agency secured further global CRM business for SK-II and announced work with Verizon of launch of full transparency, which is a blockchain verification system that has the potential of transforming the way in which companies disseminate news for their principal audiences. Huge and RGA were listed among the top 30 agencies for clients to work with in 2021 by R3 Worldwide, the independent consultancy which also cited both agencies in the top three spots in its latest U.S. new business league rankings. MRM, RGA and Huge also earned a place in the 2020 Gartner Magic Quadrant for global marketing agencies based on their ability to serve as key strategic business partners for clients and to execute on critical marketing priorities. The Martin Agency was named U.S. Agency of the Year by Adweek and its open for delivery campaign for DoorDash was recognized some of the best creative work of 2020. AdAge also named Carmichael Lynch and Campbell Ewald to its industry list of Best Places to Work. Turning to our IPG DXTRA segment, during the quarter, Weber Shandwick unveiled a permanent hybrid model for its global workforce called Juice, which puts employee flexibility at the core. The agency also announced new wins with existing clients, including work with the CDC to promote immunization across the lifespan of all Americans.  named a new global chairwoman and added General Mills and Roche to its client roster. The agency was also recognized at the 2020 ANA Multicultural Excellence awards, along with FCB Canada, IW Group and the Martin Agency. Turning to the holding companies, for many years, we have made ESG, including diversity, equity and inclusion, a key area of focus. As a leader in marketing services and a citizen of the communities where our employees live, work and vote, we welcome the responsibility to operate sustainably, contributing to a healthier society and a healthier planet. We are working to build on and more fully live into this commitment, including by reassessing how we hire, train and promote a diverse workforce as well as further reduce our greenhouse gas emissions around the world. In recent years, we have made steady progress in sustainability, planning, action and reporting. As a result, during the quarter and for the second year in a row, IPG was named to the FTSE for Good Index, the global index that identifies top public companies with strong ESG practices. We were also included on the Dow Jones Sustainability Index in North America, which recognizes the top quintile of sustainability performers among the 600 largest U.S. and Canadian companies. In just this past month, we were recognized with two further ESG honors, including the Bloomberg Gender-Equality Index for the second consecutive year and the Human Rights Campaign Corporate Equality Index for the 12th year running. As a business in which attracting top talent is vital to our success whether in creative services or our growing technology capabilities, an intentional approach to ESG is an important part of our strategy. Another aspect of our strategy going back several years has to do with our decision to incorporate data expertise into the core of the company. Understanding data and its power is absolutely essential to the current and future success of every company. As is an ethical and conscious approach that respects consumer privacy and promotes brand safety, all of which will be crucial as we look ahead to increased regulation in the digital media space. Going forward, we will continue to enhance the technology layer within our offerings and to build tech-enabled marketing solutions, informed by a holistic understanding of audiences. This is what will allow us to deliver personalized user experiences and more accountable marketing for brands. Ultimately, our vision for IPG is to be the key partner in ensuring that clients’ businesses thrive in the digital economy. This is what makes us confident in our long-term prospects. Looking at the year ahead, we know IPG is well positioned to participate in the global economic recovery. As I stated earlier, we fully expect to return to positive organic growth over the course of the year, in line with a macroeconomic recovery, and to deliver growth for the full year that’s consistent with the industry on top of our outperformance in 2020 relative to our peer group. The timing of our progress during the year does remain an open question. And this is in part due to the fact that last year’s first quarter was largely unaffected by the pandemic while this year has remained burdened by COVID, but it’s especially true given the significant variable that we all face related to public health and economic policy decisions in major world markets. As we get better visibility to these larger issues, as well as the rate of recovery in industry sectors that have been most impacted by the pandemic, the pace of our progress will become clearer. As always, as the year unfolds, we will regularly review our perspective with you on our quarterly call and we’ll keep you updated on our expectations. We will, of course, continue to invest behind the growth of our businesses and in developing our people just to further differentiate our offerings, which is what ultimately creates value for clients and has helped us establish a position of leadership in our sector. In keeping with our long-standing focus on maintaining a strong balance sheet and financial flexibility, we intend to continue to pay down debt. Our ongoing commitment to the dividend is clear in the action announced by our Board today, which also speaks to confidence in the longer term prospects for our company. And return of capital remains a priority for us. So we look forward to being in a position to return to share repurchase as part of a balanced approach to sustain value creation. Thanks again for your time. We look forward to your questions now.
Operator: Thank you.  Our first question is from Alexia Quadrani with JPMorgan. You may go ahead.
Alexia Quadrani: Hi, thank you so much and welcome, Philippe. I had a couple – two questions. First, if you could elaborate a little bit on the softness in Europe. Really any color you can give us in terms of how widespread it is across client verticals or disciplines, and any indication maybe if that softness has continued into the start of the year? I know it’s really early. And I guess staying in that kind of vein has account movement maybe paused a little bit now in Europe as well?
Philippe Krakowsky: Hi, Alexia. Thank you for the question. Look, I think that the delta that you saw in the fourth quarter when it came to international vis-à-vis U.S. was really just a continuation of a trend that we’ve seen during the course of the year. But I think it’s really just a matter of degree and not something that’s indicative of what we’re going to be looking at or expecting. I wouldn’t project that into 2021. And so in terms of sort of getting underneath that for you, I’d say that the key driver of that was really sector mix, right? So first and foremost, I’d point out that health care was our strongest performer all year and that skews very heavily to the U.S. by a factor probably of about 2:1. And that’s just a function of how Interpublic was built over time. And I think it’s also reflective of the fact that direct-to-consumer advertising, obviously, is not something that exists in most world markets. So I would think of health care as a place where we had much more sail to the wind in the U.S. than elsewhere in around the globe in what is clearly one of our strongest client sectors. And health care also is – has a lot of Q4 project revenue. So we saw more of that realized here. The second piece of how I would think about that split is media was a strong performer for us in Q4. So we talked when the pandemic hit about the fact that, that had been dialed back in Q2, clients reacted to what was going on with the economic situation by shutting down largely the digital media. So we started to see that come back in Q3. It came back stronger in Q4. And so again, there by virtue of the fact that the U.S. is our largest market, there was more upside. And then the other two factors that I think have to do with this are Acxiom has a significantly larger business in the U.S. than in rest of world. It’s clearly a less cyclical business so it was much less susceptible to what I guess you could call it kind of a Q4 project squeeze than were the project-based businesses. And then lastly, on a couple of our calls as we went through the year last year, we did call out the fact that the pandemic was probably going to have an impact and there was a risk to Q4 project spend, right. And that definitely played out, and it played out to a much greater degree on the international side of things. And I think that there were clearly more pandemic restrictions on gatherings, on holiday-themed events, even actually on kind of retail level activation, so, experiential and events where as we said to you, about 5% of our business, and it was clearly impacted throughout the year. Ex-U.S., the impact of that was again about 2:1 outside of the U.S. and clearly not in anybody’s favor. So hopefully, that will sort of get you a sense of – and then in terms of one of the things that’s good about a succession that has a lot of continuity to it is that our clients and our people feel comfortable. I think one of the things that may be not so good is that I still have to tell you that we don’t – we are not planning on kind of reporting on a quarter-by-quarter – on a month-by-month basis, sorry about that. So what we are seeing in the very early stages of ‘21 is it’s a very limited small sample size and that’s something we are likely to give anybody insight into.
Alexia Quadrani: No, I understand that. No worries. And then just a quick follow-up is on the buyback, I know you touched on it in your opening comments about capital return to shareholders and it will return at some point. Are there certain metrics that you look to whether it’s return to positive organic growth or just really more clarity on the virus and the vaccines, I am curious sort of what you look to just sort of make the determination of when do we start to buyback?
Philippe Krakowsky: Well, I am going to ask Ellen to jump in here.
Ellen Johnson: Good morning, Alexia. How are you?
Alexia Quadrani: Great.
Ellen Johnson: Thank you for the question. Listen, return of capital, as we mentioned, remains a priority. I think you can see that by the actions the Board did today against our dividend. Our priority is to maintain a strong balance sheet. We plan on paying down our debt that is due in October. But share repurchases is something we are looking to get back to the resume so that we maintain the capital return mix that we have in the past, so…
Philippe Krakowsky: We definitely want to get back to that balanced capital return.
Alexia Quadrani: Okay. Thank you very much.
Operator: Thank you. The next question is from John Janedis with Wolfe Research. You may go ahead.
John Janedis: Thanks. Good morning. Philippe, you talked about the velocity of change and becoming more of a strategic partner. So can you talk about your share of wallet with larger clients? And based on some of the examples you gave, would it be fair to say that your top I don’t know, 50 or 100 clients are still a growing organic at a rate faster than the overall company? And then separately for Ellen, you talked about the cost savings. Can you talk a little bit more in terms of – is it split fairly evenly between salary and real estate? And on the real estate side, I assume that may take more time to flow in based on some lease expirations. So do those savings come in beyond 2021?
Philippe Krakowsky: So the supposition about share of wallet and about the fact that our top 100 or so clients are likely outpacing the rest of the portfolio is a fair one. I would say that, that’s definitely something that we are seeing. And that’s something that we would like to see more of obviously, because there it’s a smarter way to grow than to be reliant on reviews and things of that nature. And then I also think that the fact of the matter is that, that confluence of marketing and technology is having an impact in every company. And I think that, as you said, the pandemic has brought forward the need for companies in a very broad range of spaces, including companies and industries that are probably not as data-rich or that were not as reliant on certain mechanisms to be reaching consumers or to be thinking about sort of lifetime customer value with consumers, things of that nature. So it’s definitely something that we’re very focused on. And it was one of the reasons I wanted to call out in the opening remarks, give some sort of detail and color into the kinds of engagements and how when you have media that allows you to really understand audiences and engage with them and then when you bring data into the core and it informs everything from the insights that lead to the ideation, all of the ways in which the messages are served out, and then you begin to have kind of essentially the capacity to optimize not just in some of the traditionally sort of digital capabilities where you could do that. Everything clearly is becoming more and more addressable. So that’s definitely an area of focus for us and then for the management teams at the bulk of our agencies.
Ellen Johnson: And then with regards to your question regarding restructuring, first of all, I have to say that our teams did an amazing job with the program. All throughout the year, they continue to look for opportunities to really take the learnings from this time period and take actions against it that would result in the permanent savings that we’re projecting. So we do expect to see savings, both on the SRS line and on occupancy as a result of it. The accounting for leases is neither intuitive or linear so you will see some savings in 2021 but you will see more thereafter as the leases start to get subleased. So – and leases, as you imagined, have longer paybacks, right, because they’re over several years. So hopefully – but again, we are very confident that we’ll realize these permanent savings and are really grateful for all the efforts of our teams in undertaking it.
John Janedis: Okay. Thank you.
Operator: Thank you. The next question is from Julien Roch with Barclays. You may go ahead.
Julien Roch: Yes. Good morning, Philippe. Good morning, Ellen. Good morning, Jerry. My question is on media. You said it was strong in Q4. Ellen talked about working capital. So it looks like it’s a positive number in Q4 after being positive in Q3. So I was hoping you could give us more color on media performance in Q4 and the full year. And then staying on media, WPP did give us the media numbers at the Investor Day where GroupM had grown 7.5% in the 5 years to 2019, 5.6% organic. I was hoping you could give us some color there as well? And then the last question is, I mean, if I had a dollar, every time the client told me that you don’t need an agency, because you can go straight to Google and Facebook, I’d be retired by now. So, media has been one of the best business of the agency space. And also you explain us if you could explain to us why that is, why has media been so strong and why the majority of investors, which for the media has been an area of headwind how long? Thank you.
Philippe Krakowsky: Sure. I am trying to figure out which maybe I’ll go from the back to the front. So I think media has been an area where by virtue of the fact that you have very sizable budgets that are being invested and by virtue of the fact that the shift to digital in recent years has allowed there to be greater precision and a degree of accountability, because I think that it’s also fair to say that it is an opaque ecosystem and that some of the expectation of accountability that people had. It took a while for us to really understand what was going on there. But I think what we’ve had is we’ve had the ability to have conversations with clients in the media space that are about more than perhaps just the marketing side of their business, they really – their business conversations around the ROI around those investments. And so I think that across most of the groups, there’s been investment behind that. We’ve taken a different approach perhaps than our peers. As you know, when it comes to building a model that was much more consultative in nature, and it was not really one that was predicated on volume. And so what we tend to define was that again, there was a lot of interest in what we were able to do by pulling together understanding of audiences, by launching initially our own programmatic platform or at least our own programmatic trading desk and then the data stack that we began to develop ourselves prior to the investment that we made into Acxiom. So I think that those are all the logical reasons why media has been a growth driver and just the huge fragmentation that we’ve seen and the complexity that has come with the media channels and as we all remember, Michael always used to say, complexity is good. Complexity definitely created opportunity for us to provide consultative services to clients now on sector disclosure, that’s a tougher one for me to – I understand and respect that the question from your point of view is if I’m trying to analyze the space and to model performance, I clearly would want to bucket and quantify the sectors. And then hopefully, I think you will understand and respect that my answer is not going to conform directly to that because it’s not actually how we run the business. So as I mentioned initially, and as we were just discussing on the prior question, increasingly, we engage with clients by bringing multiple agencies and competencies to the table. That’s the integrated approach with open architecture. We now ground those solutions in a layer of data and/or technology services. Clearly, media is an important part of that. So the performance of the disciplines is tied very closely together. And one of the things that I think the operators get tired of hearing me say is the word interdependence. So there’s that there’s the fact that for many years, we’ve embedded digital into all of the agencies. And I think that it makes the specific agency’s offerings more relevant, but it also does give us that common language for working together, right. And so going back quite a few years now, when the industry was becoming much more digitized, the number of our peers started to highlight this percentage of digital revenue, and we didn’t, and we believe that the best barometer to see whether the strategy is working and to gauge our performance is organic growth, right. You look at the last 4 to 5 years, for last 5 to 6 years even and you have an average of 4% to 5% per year organic growth. So, this is pre-pandemic, right. So I think you conclude from that, that the performance of all of the agencies is quite solid. And we do highlight on performers. So media, healthcare in recent years clearly have to be north of that range. But I would point out that timeframe during that 5 to 6 year timeframe the creative agencies have posted growth, right. And you – when you look at a sector like healthcare, it’s positively impacting not just our health care specialist agencies, but it’s an important driver in media. It’s in some of the ad agencies, right. It’s in the PR space. So the focus for us is the client, their consumers, supporting the brands and then driving to this collaboration. So starting to pick the pieces apart, I think, runs counter to philosophically what we are trying to build.
Julien Roch: Okay. Yes, thank you very much.
Operator: Thank you. The next question is from Michael Nathanson with MoffettNathanson. You may go ahead.
Michael Nathanson: Thanks. Hi, Philippe. How are you? Couple of – I have two questions for you. One is on the U.S. and I think we have all been surprised by the speed of which spending has bounced back on digital and advertising. It’s almost in V shaped. But I wonder – I know some businesses lag within agencies. When you look at your portfolio within the U.S., where are you seeing the lag? And what are the gating factors to get some of those services back to growth? So that’s in the U.S. And then internationally, as you have mentioned, has been moving back to lockdowns. Have client behaviors change now versus the first lockdown scenario, given what’s happened in terms of people who spent looked like they succeeded? So I just want to understand what’s the psychology as markets return to lockdown versus where they were before?
Philippe Krakowsky: Hi, Michael. Thank you. Look, I mean, I think that in the U.S., knowing that we came into the year comping against the year last year where there was growth. And we had those three pretty sizable client losses as you say, there has been – it’s been remarkably resilient. And obviously, that might be because there has been a little bit less in the way of restrictions on certain kinds of behavior. And I think that there may be other extenuating factors. But I would think that what we are seeing here and what we are seeing in Europe vis-à-vis changes in behavior goes to people are definitely moving faster to trying to understand what is e-com do for them, what is connected commerce sort of to what extent can you take social and other channels. And I think you probably just saw today, TikTok kind of clearly making any number of things sort of shoppable on the platform. And so I think that it’s fairly intuitive what’s going on, which is that clients are either looking at ways to use digital channels to drive commerce or they’re looking at ways to use their first-party data and to do much more CRM-like activity. I mean, there’s no kind of magic wand on this one. It’s pretty much what you’d expect. And then in terms of the psychology of it, I think its part of what is contributing to the – just the caution that people have as they look to this year. I mean, I would bet you that there isn’t anybody I know, and I’m sure that these are pretty extraordinary circumstances, right? So would any of us have thought that we would still be working from home or in lockdown a year after the pandemic began, right. So that’s just informing the fact that people are being deliberate. I don’t think people are reacting quite as there isn’t as much of a pullback as there was when the initial shock hit. But now there’s the sense of even though we are beginning to see the light at the end of the tunnel, are we really going to get there on the time line that we are hoping for or might there be some forks in the road on the way to that. So I think that psychologically that’s – it’s just about people being thoughtful and a bit cautious but people are still engaged.
Michael Nathanson: Alright. Thanks, Philippe.
Operator: Thank you. The next question is from Craig Huber with Huber Research Partners. You may go ahead.
Craig Huber: Great. Thank you. I am just curious, can you just explain a little bit further, maybe even quantify it, the rated decline of organic growth in the fourth quarter was obviously a little bit worse than what you’ve experienced in the third quarter. If you took out the project-based piece of that, was it more in line? That’s my first question. And then also I wanted to hear a little bit further in Continental Europe, if you could just tell us the major countries there, if is there any wide disparity in the performance of Germany versus Italy versus France, etcetera? Thank you.
Philippe Krakowsky: Look, I mean, I think that – I am trying to – that’s a lot in one go, but the project-based businesses, as we pointed out, were the ones that were most impacted. And so I think if you look at where the decline in the quarter was felt most – what dragged. So if you look at again, not that for us, the sectors are how we are running the business. But if you looked at what the CMG sector had and then you think about where our overall performance was, you can see that that’s where a disproportionate amount of the drag was. And then on a country-by-country basis, in a market like Europe, when you think about the fact that the continent for us is 8% of total revenue, it’s down 7.3%. Some of those markets are actually not really all that big for us. And so what you have happening there, I think, is less kind of a macro or a secular trend and it’s really, really very sector specific. So it really comes down to client mix in some of those markets where if you have exposure to certain areas, it hurts you more than others.
Craig Huber: Thank you.
Operator: Thank you. And that was our final question. I will turn the call back to Philippe for any closing thoughts.
Philippe Krakowsky: Well, thank you. Thank you all for joining us. We appreciate the interest. We appreciate the support. We look forward to continued conversations over the course of this year, and it’s a long game. So everybody stays safe. Thanks again.
Operator: Thank you. And this does conclude today’s conference. You may disconnect at this time.